Operator: Good day. My name is Vaishnavi, and I will be your conference operator. I would like to welcome everyone to Aeva Technologies First Quarter 2022 Earnings Conference Call. During the opening remarks, all participants will be in a listen-only mode. [Operator Instructions] Following the opening remarks, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, today's conference call is being recorded and simultaneously webcast. I would now like to turn the call over to Andrew Fung, Director of Investor Relations. Andrew, please go ahead.
Andrew Fung: Thank you, and welcome everyone to Aeva's first quarter 2022 earnings conference call. Joining on the call today are Soroush Salehian, Aeva's Co-Founder and CEO; and Saurabh Sinha, Aeva's CFO. Ahead of this call, we issued our first quarter press release and presentation, which we will refer to today and can be found on our Investor Relations website, at investors.aeva.com. Please note that on this call, we will be making forward-looking statements based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect our views only as of today, and should not be relied upon as representative of our views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For a further discussion of the material risks and other important factors that could affect our financial results, please refer to our filings with the SEC, including our Form 10-K for the year ended December 31, 2021. In addition, during today's call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Aeva's performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. A webcast replay of this call will be available on our company website under the Investor Relations link. And with that, I'll turn the call over to Soroush.
Soroush Salehian: Thank you, Andrew, and good afternoon everyone. We are off to a strong start in 2022 and continue to execute on our plan. In Q1, we achieved key milestones that moved us towards Aeries II deployment and continue to broaden our commercial reach. I'm excited to highlight a few of our accomplishments which are summarized on Slide 5. First, we are on track for first deliveries of Aeries II in late Q2. Initial units have been manufactured with initial system and performance validation successfully completed. Second, we are building strong momentum in Industrial Automation. We continue to make progress on our first industrial precision product with Nikon, while also receiving significant inbound interest for additional industrial automation sensing applications, which are uniquely achievable with Aeva's FMCW LiDAR on chip technology due to superior precision. Third, a number of developments will enable us to accelerate adoption of our unique 4D LiDAR technology. This includes being the first and only FMCW LiDAR on NVIDIA's DRIVE autonomous vehicle platform. We also continued to strengthen our team across the board, including new leadership and sales to help accelerate our go-to-market plans. Together with this, we also announced the opening of Aeva's China office as we look to increase our global presence and response to the growing market demand for 4D LiDAR across as wide variety of perception applications. And fourth, the $415 million in cash at the end of Q1, reflect our disciplined approach to capital allocation and continues to position Aeva well to execute on our plan to bring 4D LiDAR to mass scale. Moving to Slide 7, I would like to provide more color on key business development over the past quarter. First on Aeries II, we completed a number of important milestones in Q1 that move us meaningfully closer to our target to start delivery to customers in late Q2. This includes bringing the system manufacturing line-on-line with initial unit manufactured. We successfully completed the initial system and performance validation and initial reliability test on Aeries II surpassed Aeries I, including for temperature and ingress protection. The market reception following the unveiling of Aeries II has been very encouraging. We continue to see growing consensus among automotive and non-auto customers that FMCW 4D LiDAR with a differentiated ability to instantly measure non-inferior velocity, enables us faster detection at higher confidence levels to safely bring higher levels of autonomy to a variety of perception applications including automotive and industrial markets. Aeries II incorporates the world's first 4D LiDAR on-chip solution that delivers direct velocity measurement for every pixel, together with 500 meters of range, camera level resolution and a designed for automotive grade and reliability. As we expand on our commercial engagements and begin deliveries of Aeries II units. We expect to meet the demand for our core perception platform, leveraging our LiDAR on-chip module as well as the Aeries II product. In terms of the work that remains ahead, we are focused on the bring up of the automated assembly for our LiDAR on-chip module over the next few months and preparation for our scale deployments and to meet the strong demand for Aeries II. Moving to Slide 9, as we announced earlier Aeva is now the first and only FMCW 4D LiDAR on NVIDIA's DRIVE platform, which we believe will help to continue expanding our momentum in automotive. NVIDIA DRIVE is an interim platform that enables OEMs and automotive players to develop and validate safe self-driving technology at scale. Based on our engagements with OEMs, they are increasingly looking to implement FMCW LiDAR into their next-generation programs. Aeva's integration on the NVIDIA DRIVE platform brings our unique 4D perception to a broader group of automotive customers. And with OEM's ability to build their autonomy stack using existing and NVIDIA development and software tools, we believe this will enable OEM to accelerate the adoption of Aeva's FMCW technology. Now switching gears to non-automotive on Slide 10. We are proud to have NASA use Aeva's 4D LiDAR to create a mobile terrain mapping and navigation system to support the next generation of Lunar and planetary exploration. This system will help astronauts and rovers to navigate and map the lunar surface, leveraging our proprietary capabilities that uniquely solve critical challenges on the moon. One of those key challenges in navigation and a GPS-free environment, because Aeva's FMCW technology can directly measure instant velocity for every pixel. It can also estimate its own motion, effectively serving as an independent navigation solution that provides precise positioning, even in environments where GPS is unavailable or unreliable, such as in tunnels or parking garages for automated vehicles, or in the case, on the surface of the moon, where it's completely unavailable. In addition, Aeva's FMCW technology is immune to optical interference, which is particularly needed on the surface of the moon where the sun never appears more than three degrees above the horizon in certain regions, such as the lunar South pole. This exposed cameras and legacy LiDAR sensors is significant optical interference that prevents their effective use for sensing and perception. This region of the moon also had areas that are permanently shadowed or have long persistence shadows that prohibit photogrammetry-based navigation. Aeva's immunity to optical interference from the sun and ability to operate in the dark will allow astronaut and rovers to safely explore and map the lunar surface anytime day or night. These are also critical capabilities for enabling the next generation of autonomous vehicles, which need to operate safely during period of optical interference with the sun directly shedding out of the sensors. We have always believed in the potential for our FMCW on-chip technology to be a platform that can enable the next wave of perception for a wide range of applications beyond automotive. Central to our technology is a common core LiDAR chip module that is the same architecture we use in the Aeries platform for automotive. But tune to deliver different performance requirements for different use cases. And NASA provides a glimpse of the broad use cases and a significant opportunity for Aeva's perception platform. Let's move to Slide 11, which highlights our progress in industrial automation, where there is growing demand across a wide range of application to utilize our LiDAR on chip module. In particular, our ability to achieve high-precision and a small chip module form factor unlock a number of unique new opportunities, such as applications requiring precise measurement of a centimeter or less, which to our knowledge, cannot be achieved with current 3D time of flight LiDAR solutions. To meet this growing demand and enable faster adoption, we are developing a common platform for industrial automation, based on the same LiDAR on-chip architecture used for automotive applications. And building off of the micron level precision already achieved last year, we are making good progress and target completing our LiDAR on chip module development for industrial automation by Q4 of this year. This timeline also aligns with our collaboration with Nikon where we remain on track for our first product launch in 2024. Our planned common platform for industrial automation is an example of how our strategic decision announced last quarter to accelerate our shift from NRE towards scale deployment of common platforms for commercial programs, is enabling us to pursue opportunities with a higher level of efficiency and agility. Now to our key objectives for 2022, which are highlighted on Slide 13. We have made good progress so far this year, and believe we are well positioned to achieve our key objectives for 2022. I would like to share a bit more on each one. First on Aeries II Deployment and Qualification with Customers as mentioned earlier, we continue our focus on manufacturing and supply chain, which includes the bring up of automated assembly equipment for our LiDAR on chip module, in order to keep us on schedule for deliveries to begin in late Q2. And given the strong demand for Aeries II, we are laser focused on our preparation to achieve this milestone. Second, on converting two additional programs towards production, we continue to progress on a number of engagements for multiple applications, including passenger vehicle, trucking and mobility, as well as non-automotive such as industrial automation. We believe we are on track to win program in both automotive and non-automotive this year. And see opportunity to further expand our commercial momentum as we begin Aeries II and LiDAR chip module deployment. Third, on accelerating the release of our first non-automotive application, we continue to progress on our first industrial precision product with Nikon and remain confident in achieving our accelerated 2024 timeline for production launch. Beyond that, inbound interest continues to grow and we are developing a common perception platform that utilizes our core LiDAR on chip module to meet demand and accelerate adoption in the growing industrial automation market and fourth, on preparing the supply chain and processes for commercial deployments. We continue to work closely with our supply chain partners to prepare for commercial deployment. Efforts also continue on working toward certification in Automotive SPICE and information security. And with that, I will turn the call over to Saurabh to discuss the financials.
Saurabh Sinha: Thank you, Soroush, and good afternoon, everyone. Let's turn to Slide 15, which summarizes our first quarter financial results. Revenue in the first quarter was $1.1 million, in line with our expectations. During the quarter, we continued to make good progress with our customers on their development milestones ahead of Aeries II deployment. Non-GAAP operating loss in the first quarter was $28.3 million, which primarily reflects our R&D expenses related to product development. Our gross cash use defined as operating cash flow less CapEx was $27.8 million for the first quarter. As such, we ended the quarter with a strong $414.5 million in cash, cash equivalents and marketable securities. Our weighted average, shares outstanding in the first quarter was 216 million. In a nutshell, Q1 was consistent with our plan. Based on our progress so far and strong balance sheet, we believe we are well positioned to accomplish our 2022 objectives and execute on our mission. With that, I will turn the call over to Soroush for closing remarks.
Soroush Salehian: Thank you, Saurabh. Before we start with Q&A, I would like to thank the Aeva team again for their contribution that enabled us to continue making significant progress on our milestone this quarter. I would also like to express appreciation to all of our stakeholders for their continued support. Since introducing Aeries II earlier this year, it's been incredibly exciting to see the growing commercial momentum to utilize Aeva's unique 4D LiDAR on chip technology. We are on track for first deliveries of Aeries II in late Q2 and look forward to supporting our partners on the path to production and realizing Aeva's mission to enable perception for everything. Thank you, everyone, for your time today. Now, let's open up the line for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Antoine Chkaiban with New Street Research. Please go ahead.
Antoine Chkaiban: Hello and thanks for the question. You highlighted the integration of Aeva 4D LiDAR with NVIDIA [ph] DRIVE autonomous vehicle platform. Could you provide a bit of color of NVIDIA's validation process, which I mentioned were most important to them beyond just 4D? And maybe as a quick follow-up looking back at the last 12 months, would you say autonomy adoption timeline has accelerated or slowed? Thank you.
Soroush Salehian: Yes, sure. Thanks, Antoine, for the question happy to answer. So first of all, as I mentioned -- as you know obviously, NVIDIA is a leader in bringing new technology to the market. I think being the first and the only FMCW platform on the NVIDIA DRIVE is important. And I think a lot of the process so far has been around, driven by the fact of our unique differentiation from a performance standpoint. In addition to of course, instant velocity dimension that we have talked about before, as well as some of the new features that we announced as part of Aeries II launch, including Ultra Resolution, which I think have been important and the validation process and the work that we're doing with them. So, of course, work, there continues and we hope that this partnership continues to expand our momentum and engagements with OEMs due to the fact that NVIDIA's platform is an end-to-end platform and already they have customers both in automotive, passenger and commercial vehicle space. And to your follow-up question on general kind of adoption timelines and if that's accelerate or slowdown, I think, what I can say is, since our analysis of course of the Aeries II, we are seeing a growing interest across the board both in automotive and non-automotive for adoption of new technologies and especially, I think, LiDAR being a key factor of that, is what we are seeing.
Operator: Our next question comes from Sam Peterman with Craig-Hallum Capital Group. Please go ahead.
Sam Peterman: Hi guys, thanks for taking my question. I wanted to ask one on trucking. It sounds like you're seeing progress with just two different engagements there. I did want to ask TuSimple. Do you guys have talked about working with closely in the past are they mentioned on their earnings call, they have kind of moved their production timeline for commercial launch back a year, from 2024 to 2025? They cited a couple supply chain factors, is kind of not being ready and that being part of the reason and side of the LiDAR, industry as a whole, a couple of times, you guys are talking about shipping Aeries II this year and presumably life at commercial deployment in -- within that timeframe. So I guess my question is, how is your relationship stand with TuSimple and is it where [ph] they push out say about your timeline for automotive commercial readiness?
Soroush Salehian: Yes, sure. Thanks for the question. So first of all, we're working on autonomous with our Aeries II and we will have that. So we feel confident with that. And on TuSimple specifically, we continue to work with them closely. I think we are progressing well. As a matter of fact as few months of course, as you are aware, we support them on their driver out program, enabling TuSimple to be the first company in this space to provide a fully driver out autonomous truck in the world using Aeva LiDAR technology right. And two of you with -- so far, of course, in addition to that, they're using our LiDAR as the only long-range LiDAR on their trucks and these are actually previous generation technology that we have been working with them for quite some time. So and to your other point, yes we plan to begin scale deployment with Aeries II towards the end of this year, including with us and others. And overall, we feel confident about some of the adoption rate of commercial vehicle players in the space.
Operator: The next question comes from Suji Desilva with ROTH Capital. Please go ahead.
Suji Desilva: Hi, Soroush, hi, Saurabh. Congratulations on the progress here. So I'm curious you just opened an office in the Asia region. You already had traction in DENSO. I'm curious about the China market. Is the competitive landscape and the opportunity there are different in some ways are there - can you talk about the opportunity for you there? And perhaps does NVIDIA partnership announced, does that give you some opportunity to penetrate that market? Any color on being [ph] there versus your current traction, which seems to be outside of China, would be very helpful to understand? Thanks.
Soroush Salehian: Sure, Suji. So first of all, as I mentioned, APAC is absolutely an important region for us. We're pretty excited about expanding and opening up an office there including China. And so, first of all, we already have partners there and we are seeing growing interest to really use next Gen technology and I think that's where for Aeva, this becomes interesting because at the end of the day. If you also look at it, OEMs and customer general, automotive specifically, but also non-automotive, are looking to differentiate from the competition. And if you look at it today, FMCW technology simply doesn't exist through the end and APAC at production also. We're looking forward to bring that up to the market and - we continue to establish relationships and partnerships there. Other thing, non-auto, we are already partnered with Nikon and we're well on track there and expect to - for the industrial automation in general as well, to 2024 production timeline. So - but I think one thing I also want to highlight is, with the fact that we're building this one LiDAR chip platform, really a perception platform and we are able to go down to sensing measurement capabilities that are below a centimeter, providing really unique opportunity for Aeva. Because currently there is - as we see a growing demand and an existing business opportunity for inspection, especially in volume manufacturing for a bunch of different variety of applications, and those are either done by camera type solutions that are not very robust or with laser-based solutions, cannot really achieve under a centimeter. So now that we are going after that, perception platform with under a centimeter, we see this, an opportunity to be unique for Aeva because we believe only FMCW can achieve that in a robust way. And so, that we expect that also to continue to grow beyond some of the automotive applications in the APAC region as well.
Operator: [Operator Instructions] And next question comes from Colin Rusch with Oppenheimer. Please go ahead.
Colin Rusch: Thanks so much guys. Some of our checks are pointing to reliability of 4D LiDAR in test cases actually - but better than expected. Can you just talk a little bit about the feedback that you're getting from your customers as they go through testing with few samples?
Soroush Salehian: Yes sure, Colin. So, you know, I think really the proof is in the pudding. Obviously, with the systems we have on the road today are based on A samples with Aeries II our B sample. We're on track and moving to start deliveries really at the end of this quarter. And I think, as a clear example, even one of our - in earlier A samples from a few years ago, continued to be used for actual development and autonomous capability, including some commercial deployments with our partners. And this includes in the commercial vehicle side, talking about that with TuSimple and others, that continue to use that technology. Of course, those were A samples and they were not designed for mass manufacturing, but with B sample, we continue to improve the reliability and that's really you know, been one of the key factors to go after is, to get that maturization and automotive greatness. I think this is the last piece that we're working and to fall in place and we're laser focused on that. It is critical for us to deliver on our first samples at the end of this quarter and from there working on the supply base to scale up our volumes in the second half of the year. So - but with Aeries II, to answer your direct question. We also already see that reliability to be improved. And as I mentioned on the call especially our temperature in the U.S., which has been a challenge for any technology, but especially on conventional FMCW so that's what we inspect [ph] that.
Colin Rusch: Okay, that's super helpful. And then a lot - of systems are not really prepared to use the philosophy that you guys can provide, and obviously, you guys have been doing some development around some of the software that you can supplement some of those other efforts. Can you talk a little bit about progress that you've got - going with a lot of different velocity [ph] and then translating that into streamline decision-making for some of your customers?
Soroush Salehian: Yes, I think it really - what's interesting actually with any new capabilities that actually the value is different across different applications right. And that's what's - we're just scratching the surface here on what the new dimension can do it. As I've always mentioned, when you go from black and white cameras to color, the confirmation is a whole new world of information and there is so much possibility with it. So with velocity, we have a similar situation here. In automotive, specifically, we see the velocity points simply bringing high level of confidence for automation and the global autonomy, right, being able to know something that's dynamic. It's the supercritical topic and challenge and for any moving vehicle and with our technology, those vehicles and customers can do that faster, which really enables a faster reaction time and being able to make a decisions quickly. On non-automotive, there is a number of things that come into play, of course, but I'm not going to go into all the details of that, but at a high level, even for similar topics where you want to be able to provide a specific safety mechanism to protect for example, humans in the industrial application or being able to see how things are moving in warehouse to be able to make certain decisions based on that. All of that is actually coming to play with the velocity dimension. So as our customers continue to use it, we continue to find new examples and be able to leverage them across applications. So we continue to focus our efforts and also - building capability on top of the velocity dimension to be able to showcase that to customers and help them solve challenges that they haven't really been able to do so before.
Operator: Our next question comes from [indiscernible] with Morgan Stanley. Please go ahead.
Unidentified Analyst : Hi great, thanks for taking my question. So it's great to hear about the momentum in industrial automation and other areas like 3D mapping with that recent NASA announcement and robotics like you just mentioned. But I'm just wondering if you could give us a relative breakdown of how much of your engagement pipeline is currently automotive related versus non-automotive and other on a $1 opportunity level or simply around the number of conversations that are happening? Thanks.
Soroush Salehian: Yes, sure. So we're not providing specifics on breakdown of customer opportunities. What I can tell you is that, from a general interest as we see in the space, we are seeing growing demand both on automotive and non-automotive, especially because the LiDAR on chip module and the platform, we are designing in a way they can be applied to multiple applications. I think as I mentioned, we're engaged in multiple opportunities currently in the span of passenger car, trucking and mobility on automotive side, as well as on industrial automation, really which includes robotics and the inspection side. And with those, we expect to be on track and we feel confident with the two wins we talked about for this year. So - and of course, as we progress and are able to share more, disclose more about the specific opportunities, we will do so in the near future.
Operator: This concludes the question-and-answer session. The conference has also now concluded. Thank you for attending today's presentation. You may now disconnect.